Operator: Ladies and gentlemen, thank you for standing by, and welcome to Halliburton's Second Quarter 2021 Earnings Call. Please be advised that today's conference is being recorded. I’d now like to hand the conference over to Abu Zeya, Head of Investor Relations. Please go ahead, sir.
Abu Zeya: Good morning, and welcome to the Halliburton second quarter 2021 conference call. As a reminder, today's call is being webcast and a replay will be available on Halliburton's website for 7 days.  Joining me today are Jeff Miller, Chairman, President and CEO, and Lance Loeffler, CFO. Some of our comments today may include forward-looking statements reflecting Halliburton's views about future events. These matters involve risks and uncertainties that could cause our actual results to materially differ from our forward-looking statements. These risks are discussed in Halliburton's Form 10-K for the year ended December 31, 2020, Form 10-Q for the quarter ended March 31, 2021, recent current reports on Form 8-K, and other Securities and Exchange Commission filings. We undertake no obligation to revise or update publicly any forward-looking statements for any reason. Our comments today also include non-GAAP financial measures. Additional details and reconciliation to the most directly comparable GAAP financial measures are included in our second quarter earnings release and can also be found in the Quarterly Results and Presentation section of our website. After our prepared remarks, we ask that you please limit yourself to one question and one related follow-up during the Q&A period in order to allow time for others who may be in the queue. Now, I will turn the call over to Jeff.
Jeff Miller: Thank you, Abu, and good morning, everyone. Our performance in the second quarter demonstrates that our clear strategy is working well and Halliburton strategic priorities are driving value. Let's get right to the highlights. Total company revenue increased 7% sequentially as both North America and international top line continued to improve. Operating income grew 17% with solid margin performance in both divisions.  Our Completion and Production division revenue increased 10%, driven by the strength in U.S. land completions. C&P delivered operating margin of 16% in the second quarter, reaching three-year highs.  Our Drilling and Evaluation division revenue grew 5%. Operating margin of 11% was about flat sequentially with rig count increases across multiple regions, offsetting a seasonal decline in software sales.  North America revenue grew 12% as both drilling and completions activity marched higher throughout the quarter. Increased utilization and our significant operating leverage supported sequential margin expansion.  International revenue grew 4% sequentially, with activity increasing in the key producing regions of the world despite COVID-19 disruptions in various countries.  Finally, we generated strong free cash flow this quarter, bringing the year-to-date free cash flow to almost $425 million.  I'm pleased with the solid performance we delivered in the first half of this transition year. While recent market volatility only demonstrates the fact that we remain in a transition year, today, I want to spend more time discussing what I believe will unfold over the next couple of years.  First, let me reaffirm the outlook for the rest of this year. In the second half of 2021, we expect activity momentum to continue. Internationally, we still anticipate a double-digit increase in activity compared to the second half of 2020 even as certain countries continue to face COVID disruptions.  With commodity prices remaining supportive, we believe activity in North America inches higher with drilling outpacing completions as operators build up well inventory for 2022.  Looking beyond this year, let me describe the longer-term outlook. We believe that we're in the early innings of a multi-year upcycle. For the first time in seven years, we anticipate simultaneous growth in international and North America markets, and this view guides our business objectives and expected outcomes.  So, here's how we see the macro industry environment playing out over the next couple of years. First, we believe commodity prices will remain structurally supportive. With both demand resurgence in many economies and increased vaccines availability, we anticipate the global demand will continue to exceed supply, particularly to the extent OPEC+ manages supply additions over the near-term. As OPEC+'s spare capacity returns to normalized levels over the next year, we believe sufficient pent-up global oil demand will support a call on both international and U.S. production.  Second, multiple years of underinvestment in the international markets, coupled with the anticipated oil and gas demand growth, give us confidence in a healthy international recovery. I believe the growth will be led by the national oil companies and focused on shorter cycle barrels. This activity should come with higher service intensity and higher relative capital spend around the wellbore as opposed to long cycle infrastructure investments.  We expect mature fields, both onshore and offshore, to attract the most investment, while large scale greenfield exploration will be limited to a few markets in Africa and Latin America. As a result, we anticipate double-digit annual international spending growth at least over the next couple of years.  Third, we believe that a supportive commodity price environment, normalized levels of spare OPEC+ capacity and high decline rates in U.S. shale are constructive for North American spending. We expect drilling and completion spending in North America will also grow double digits annually over the next two years, although activity will not return to pre-pandemic levels. We expect private operators to opportunistically lead the activity comeback, while public E&Ps balance growth and returns. Fourth, I believe equipment availability will tighten much faster than most people think. In multiple product lines, we believe that equipment supply will fall behind anticipated demand. Today, both drilling and completions equipment are nearing tightness in North America, and we expect to see international markets tighten over the next few quarters.  Given the scarcity of external capital sources, many North American service companies do not currently generate sufficient cash to organically fund investment in new equipment, innovation and maintenance, let alone generate sufficient returns. Internationally, multiple years of service company CapEx reductions should limit equipment availability.  We expect increasing demand and tightening equipment capacity will lead to higher prices. Pricing is beginning to return in North America now and is expected to lag internationally where contract durations are longer.  I know the positive macro outlook I just described as a case for the rising tide lifting all boats. However, what matters is how Halliburton is positioned to outperform in this market. The improving macro environment marks the first time in a long time that we see an increasing level of customer urgency and a pivot back to what creates value in our industry. And this reinforces the power of Halliburton's unique value proposition. Throughout the downturn, Halliburton doubled down on our value proposition to collaborate and engineer solutions to maximize asset value for our customers. We continue to invest in technology, both digital and hardware, that maximizes value per barrel of production. We are expanding in new market segments. We are uniquely positioned in North America as the only integrated service company. Our collaborative culture and engineered solutions create sustainable competitive advantage, setting Halliburton up to move from value creation to value capture.  Here are a few examples of how Halliburton creates and captures value through our digital technologies. We're accelerating the deployment and integration of digital, both with our customers and internally. It creates technical differentiation, contributes to higher margins, and drives internal efficiencies.  Over the first six months of this year, we grew the total user count on our iEnergy public cloud by 70%, and cloud revenue now constitutes almost 20% of our overall software revenues. We believe that this shift from on-prem to cloud software solutions drives faster growth. It also allows us to expand our revenue base with the same customers as we add new cloud native applications and increase the number of users within the same operator.  Digital technology enables high value remote and autonomous operations. We see steady growth of our remote monitoring of open hole wireline operations. For example, this past quarter, we deployed virtual remote logging capabilities on a remote location in Continental Europe, utilizing a wellsite specialist in Norway to remotely operate downhole tools. Virtual remote logging allows us to place highly specialized personnel at regional hubs rather than in the field, which leads to better resource utilization, fewer personnel at the well site, less HSE exposure and higher margins. We also deployed digital and automation in our drilling operations across the globe, both on discrete and integrated contracts. Over 75% of our iCruise drilling system runs are fully automated today, and we expect all runs to have some automation by the end of this year. Across Europe and Eurasia, we increased the number of automated jobs fivefold since the beginning of this year. Drilling automation directly translates to top tier customer performance.  For example, over the last two years, it allowed us to improve the rates of penetration by approximately 25% on a Middle East lump sum turnkey project and on another integrated contract in the North Sea.  Moreover, digitalization and automation improved the resource efficiency of our own operations. In the second quarter, on an NOC project in Russia, we reduced rig site personnel by 40%. Separately, for an IOC in the Caspian, we captured cost efficiencies through using a remote operation center to monitor and control drilling jobs. Halliburton's differentiated drilling technologies penetrate the market and deliver results for our customers. Our multi-year investment in drilling technologies is paying off and we believe we are on the right path to outgrow the market as international drilling activity ramps up. Our drilling technologies deliver top quartile performance on discrete contracts and formed the core of our integrated project management offering.  This past quarter, on a challenging gas project on Russia's Yamal Peninsula, the Halliburton project management team drilled eight horizontal wells 36 days ahead of plan with zero HSE incidents. In close collaboration with our customer, we maximized drilling performance and accelerated the operator's production.  And lastly, we deployed digital solutions to optimize production. In the second quarter, we won a contract that highlights the enormous opportunity for digital adoption in the Middle East. After many years of collaboration with Halliburton on its digital transformation journey, Kuwait Oil Company expanded our automated production management contract in North Kuwait to all other assets in the country. KOC will use DecisionSpace 365, Halliburton's cloud-based subscription service for E&P applications to automate work processes and accurately plan, forecast and optimize production throughout KOC's portfolio. We're also expanding in new market segments. We expect to benefit from the significant growth potential of our specialty chemicals and artificial lift businesses, both in North America and internationally. As Halliburton increases participation in these new segments, we believe we will enjoy unique growth opportunities that are margin accretive and longer cycle.  I'm pleased to announce that, in the second quarter, Halliburton was awarded a seven-year production chemicals contract with a large IOC in Oman. Products for this new contract will be manufactured at Halliburton's new Saudi chemical reaction plant scheduled to open later this year. The strategic location of this plant will allow us to manufacture and sell specialty chemicals to other new customers throughout the region.  In North America, we recently expanded our footprint in the downstream process and water treatment chemicals business through awards of two separate five-year specialty chemicals contracts for large refiners on the Gulf Coast.  In our growing international artificial lift business, earlier this month, we completed the first installation of our ESP contract in Kuwait. We believe this contract gives us scale in the region that will allow us to profitably grow our artificial lift business in other key markets.  Finally, Halliburton has the broadest market exposure because we remain the only integrated service provider active in both North America and international markets. I believe this unique position allows us to capitalize on the double-digit growth, equipment tightness, and resulting better service pricing in both markets.  In the international markets, we expect that Halliburton's differentiated drilling equipment capacity tightens first. Over the next few quarters, as large tenders soak up capacity, I expect a return to the pre-pandemic environment when pricing improved in certain markets.  In North America, specific equipment categories are already tight today. There is a high demand for low emissions frac equipment and the supply is limited. Halliburton leads the market in low emission solutions today and that gives us a structural pricing advantage to further maximize value in North America.  Halliburton showcased our market-leading low emission solutions at a recent event in Duncan, Oklahoma. Over the course of five days, several hundred people from more than 40 operators came to see our electric and dual fuel equipment displays and operational demonstrations, including our 5,000 horsepower Zeus electric pumping unit, our new ExpressBlend blending system, eWinch electric wireline unit, the electric tech command center and an effective power generation solution. They didn't just see R&D plans and prototypes. Instead, they witnessed functional, job-ready equipment that works for our customers today and delivers unprecedented fracturing performance and reduced emissions. The Duncan event also showcased our SmartFleet intelligent fracturing system. SmartFleet marries our digital capabilities and fracturing expertise to do what was not possible until now – give customers control over fracturing performance in real time. It sets us apart from the rest of the hydraulic fracturing market and solidifies our industry leadership and intelligent fracturing. In the second quarter, we deployed it with two IOC customers in two different US basins with excellent results. Operators achieved more consistent fracturing placement on every stage with improved cluster uniformity and management of offset frac hits.  SmartFleet, paired with our premium low emissions equipment, creates a powerful combination of Halliburton's leading technologies to deliver superior production results, reduced environmental impact, and drive a strong margin differential for Halliburton.  We believe that our unique value proposition, combined with customer urgency and equipment tightness in the US and international markets, will improve pricing for our differentiated equipment and services. As our equipment reaches sustained levels of higher utilization in North America, we are now moving from passing on inflationary cost increases to setting net pricing higher, and we expect this trend to accelerate into 2022.  Internationally, pricing will take longer to catch up to North America and will first manifest itself on discrete contracts in underserved markets. We expect large tenders to remain competitive, but our strategic priority is clear – deliver profitable growth as the recovery unfolds. We expect improved pricing, higher utilization, and our significant operating leverage will deliver strong incrementals for Halliburton in this upcycle.  In the face of both current and expected demand increases, we remain focused on improved returns and capital efficiency and expect our overall capital investment to stay in the range of 5% to 6% of revenue.  Now, let's step back for a minute and think about what this means for Halliburton. My remarks often focus on the practical view of the near term. But I also have conviction about Halliburton's performance in the early innings of this upcycle. Based on the market assumptions outlined earlier, we expect revenue to grow at a mid-teens compound annual growth rate over the next two years. We also expect operating margins to expand by about 400 basis points by 2023 and thus return to 2014 margin levels.  We are committed to driving significant free cash flow and returns for our shareholders as this multi-year upcycle unfolds. This earnings power results from the execution of Halliburton's strategic priorities. I am confident that our focus on technology differentiation, digital adoption, and capital efficiency positions us for profitable growth internationally and maximizing value in North America.  Now, I will turn the call over to Lance to provide more details on our second quarter financial results. Lance?
Lance Loeffler : Thank you, Jeff. And good morning. Let me begin with a summary of our second quarter results compared to the first quarter of 2021. Total company revenue for the quarter was $3.7 billion and operating income was $434 million, an increase of 7% and 17% respectively. Higher equipment utilization and our significant operating leverage supported these strong results as rig counts moved up globally in the second quarter.  Now, let me take a moment to discuss our division results in a little more detail. Starting with our Completion and Production division, revenue was $2 billion, an increase of 10%, while operating income was $317 million or an increase of 26%. These improvements were driven by higher activity across multiple product service lines in North America land, improved cementing activity in the Eastern Hemisphere and Latin America, increased completion tool sales in the Middle East, the North Sea and Latin America, as well as higher well intervention services in Saudi Arabia and Algeria. These improvements were partially offset by lower stimulation activity in Latin America.  In our Drilling and Evaluation division, revenue was $1.7 billion, an increase of 5%, while operating income was $175 million or an increase of 2%. These results were driven by improved drilling-related services and wireline activity across all regions, along with increased testing services in the Eastern Hemisphere. Partially offsetting these improvements were reduced software sales globally.  Moving on to our geographic results. In North America, revenue increased 12%, primarily driven by higher pressure pumping services, drilling related services and wireline activity in North America land, as well as higher well construction activity in the Gulf of Mexico. Partially offsetting these increases were reduced software sales across the region.  Turning to Latin America, revenue was flat sequentially, primarily driven by increased activity in multiple product service lines in Mexico, higher fluid services in Brazil, as well as additional completion tool sales in Guyana. These results were offset by lower stimulation activity in Argentina, Mexico and Brazil, decreased software sales across the region, and lower project management activity in Mexico and Ecuador.  In Europe, Africa, CIS, revenue increased 7%, resulting from increased activity across multiple product service lines in Russia, Norway, Algeria, and Ghana. These increases were partially offset by lower software sales across the region and lower activity in Nigeria.  In the Middle East/Asia region, revenue increased 5%, resulting from improved activity in multiple product service lines in Saudi Arabia, improved well intervention services across the region, increased drilling-related services in Oman, higher completion tool sales in Kuwait, improved well construction activity in Australia and increased pipeline services in China. These improvements were offset by lower software sales across the region, reduced project management activity in India and lower overall activity in Bangladesh.  In the second quarter, our corporate and other expenses totaled $58 million. For the third quarter, we expect our corporate expense to remain largely unchanged.  Net interest expense for the quarter was $120 million and should remain flat for the third quarter. We remain focused on reducing our leverage in the near term, and recently announced the redemption of our remaining 2021 senior notes at par ahead of schedule in August using cash on hand, which should reduce interest expense beyond the third quarter.  Our effective tax rate for the second quarter came in better than expected at approximately 22%, benefiting from several one-time discrete items. Based on our anticipated geographic earnings mix, we expect our third quarter effective tax rate to be approximately 25%.  Capital expenditures for the quarter were approximately $190 million and will continue to ramp up for the remainder of the year. However, we will stay within our full-year target of 5% to 6% of revenue.  Turning to cash flow, we generated $409 million of cash from operations and $265 million of free cash flow during the second quarter. We believe that our year-to-date and expected earnings performance for the remainder of the year, combined with efficient working capital management, should result in a full-year free cash flow of approximately $1.2 billion. The growth and earnings outlook that Jeff laid out positions us well to grow our free cash flow over the next couple of years.  Now, let me turn to our near-term outlook. In the international markets, we expect a steady increase in activity as the rig counts continued to recover. In North America, we anticipate modest pricing improvement and continued activity momentum in both completions and drilling, but sequential activity growth will be slower than in prior quarters. As a result, for our Completion and Production division, we anticipate high single-digit revenue growth sequentially, with margins expected to modestly increase by 25 basis points to 50 basis points.  In our Drilling and Evaluation division, we anticipate sequential revenue growth of 3% to 5% due to continued rig count increases globally and a margin increase similar to that of our C&P division.  I will now turn the call back over to Jeff. Jeff? 
Jeff Miller : Thanks, Lance. Before I wrap up our discussion today, I want to thank our employees for their terrific execution on our value proposition, dedication to Halliburton, and excellent service delivery for our customers.  Now, let me summarize what we believe and expect will unfold. We're in the early innings of a multi-year upcycle. As oil demand exceeds supply, the macro environment will be constructive for both international and US markets. Halliburton's unique value proposition, integrated service portfolio and differentiated technologies position us to outperform in this market.  We have significant growth potential in new markets with our specialty chemicals and artificial lift businesses. Our technical differentiation allows us to disproportionately benefit from equipment capacity tightening across markets. Improved pricing, higher utilization, and our significant operating leverage will deliver strong incrementals for Halliburton in this upcycle.  We will continue to execute on our strategic priorities and remain committed to driving strong double-digit growth, margin expansion, significant free cash flow and returns for our shareholders as this multi-year upcycle unfolds.  And now, let's open it up for questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from James West with Evercore ISI. Your line is open.
James West: Thanks. Good morning, John.
Jeff Miller: Good morning, James.
Lance Loeffler: Good morning, James.
James West: Jeff, you gave a great outline of what you see as this multi-year expansion for the business. And we certainly agree with what you're suggesting. How do your customers – when you're looking at the mosaic of all your different customers and all the different regions, are they aligned with kind of that view that it's time to get after it, we need to put some supply into the market and get going?
Jeff Miller: Look, I think what we're looking at today is the macro. When we talk to our customers, particularly publics, they're going to do exactly what they've said they're going to do, and I think we see that playing out. But we also have a good view of the macro in terms of supply and demand. And I think, from that perspective, the planet will demand oil. Where does it come from? Clearly, we've got line of sight to improving activity internationally. I describe that primarily with NOCs. And yes, I think that it's not zeal, it’s steady march to produce more barrels. And then I think that the call back on the U.S. is simply going to be that – that underinvestment that we've seen for a number of years internationally, it doesn't just spring back into action. And I think that's very positive for North America. So, from a customer perspective, obviously, the privates are much more opportunistic around the supportive oil price. So, we see quite a bit of activity and outlook from them.
James West: Right, right. As then as we think about the returns on the assets that you are putting into the field, right now, we're probably at a sub-optimal type of return levels. So, you need prices to go up. And so, what are the levers? Or how quickly do you think pricing can move in this market to get back to what you need – would want to achieve to drive returns higher?
Jeff Miller: Well, James, it's a process and it's probably multiple iterations. But I think we're seeing net pricing to a certain degree today in the U.S. slow going, but moving. And as we work through into 2022, I expect that continues to accelerate.  Internationally, I think it takes on the same type of dynamics that we saw in 2019, where markets, individual markets see tightness, see pricing, large tenders remain very competitive. And from our perspective, that worked well for Halliburton in 2019 and into the first quarter of 2020.  And we've been very clear, I think, about profitable growth. And so, I think it's key when I think about growth internationally, the key words there being profitable growth. And so that means that – and we see multiple years of growth in front of us. And for that reason, want to be deliberate about how we put equipment to work and make money. 
James West: Right. Right, got it. Thanks, Jeff.
Jeff Miller: Thank you, James.
Operator: Our next question comes from David Anderson with Barclays. Your line is open.
David Anderson: Hey, good morning, Jeff. Some clearly very bullish comments looking out over the next couple of years. I was wondering if you could talk about maybe some of the signs that you're seeing on the international side, particularly with the Middle East NOCs. Now, you've talked about increased completion tool sales, some artificial lift contracts and other tenders. Yesterday, Aramco suggests maybe shifting 6 billion more into upstream. I was just wondering when you start to see this inflect and when does it come through. We haven't yet seen the rig count pick up. Does 3Q guide indicate sort of a similar outpace of activity from second quarter? But at the same time, Middle East feels like it should be leading that double-digit growth – the double-digit guidance next year. I was wondering if you could just help me kind of understand that trajectory. Maybe it's obviously not a very opaque – or it's more of an opaque market. Just help us kind of see what you're seeing in that part of the world?
Jeff Miller: Yes. I mean, what we see is, let's say, broadly, Middle East adding activity, adding it sort of as we speak, but more so focused towards next year. So, I think that we see – well, I think second half to second half, we're going to be up probably mid double digits for 2021 versus 2020. So, where does that come from? I think that alone is increasing and we see that sort of across the Middle East. But we also see it in Argentina, as an example. We see it in other parts of the market. And so, I think that gets traction and continues to get traction as we go further into 2022. But the activities – the demand signs are there now that we're seeing, and I think we see growth. But I think that continues to accelerate as we get into 2022 and 2023. But it doesn't necessarily overcome all the underinvestment. So, I think that there's work to be done to grow that business for operators to grow production, I think we see signs of growth now. But I think it'll be more pronounced in 2022. And we’ve described 2021 as a transition year. So, we still see COVID slowdowns in markets. There's a number of rigs that aren't working because they're not staffed today, not by us, but just in general. And so, that type of disruption is weighing down on things a bit. But I fully expect this to work through that through the balance of 2021.
David Anderson: Okay, that’s good to hear. Kind of a different topic. I just wanted to ask about kind of some of the inflation that maybe you're seeing on the North American side, particularly maybe if it impacted your C&P margins at all this quarter. I know you're not really seeing any net - real net pricing right now. But I'm just kind of curious what the E&Ps are seeing in terms of inflation. Are we talking like 5% these days? And sort of around that same question, wondering about labor. If we do see this increase next year in E&P budgets and assuming completion crews are added over the next 12 months, the industry doesn't really seem ready for that labor-wise. I'm just kind of curious how that inflation could kind of start working its way through. And obviously, that could lead to net pricing at some point. But maybe just talk about some of those components that you're seeing on the North America side, please?
Jeff Miller: Yes. I mean, I can speak to what we see in terms of inflation. And we saw inflation in many parts of our business, whether it's maintenance, in particular, cost, parts and people to do it. But we've also been able to pass that along. And in certain cases get – I think as we get through the second half of this year, we're seeing some net pricing now. And I think we'll see more of that more so as we go into 2022. But the ability to recover inflation is an important step also. In the range, is it 5% to 10%, 5%? It moves all around depending on the category. From a people perspective, we've been able to staff our equipment. We've got a very large footprint and have access to lots of people. And so, yeah, we have seen some attrition or turnover, but we've also been able to replace folks fairly efficiently.
David Anderson: Thanks, Jeff.
Operator: Next question comes from Chase Mulvehill with Bank of America.
Chase Mulvehill: I guess first thing, really appreciate you guys kind of giving some visibility over your outlook for the next couple of years on kind of top line and margins. And kind of looking back, if we were to go back to kind of pre kind of 2014 levels and basically look at the prior decade, you sustained 20% plus EBITDA margins for basically a decade and that even includes the 2009 downturn. And so, you've given us guidance that EBITDA margins will get comfortably above 20% over the next couple of years. So, I guess two questions. Number one, when do you think we will get back to that 20% EBITDA mark? Are you comfortable that it's first half of next year, second half of next year? And then, once we get there, how sustainable is 20% EBITDA margins? We haven't been above 20% since before 2014. But how sustainable do you think the 20% EBITDA margins will be over the next cycle?
Jeff Miller: I think I've given you my outlook over the next couple of years. And so, over that period of time, we approach and then exceed those numbers that we got to in 2016. I think the most important part of this is the sustainability of that. And I feel like we see the strengthening macro and our unique competitive position in the marketplace very sustainable. I think we're back on to footing that we have to produce more, the things that we do to create value become more important. An example being the technology and our equipment in North America or our drilling technology, different elements of technology, whether it's digital or lift. But all of those things are what are so important in a market that requires more barrels, and that's what we see unfolding. And so, I think very sustainable. I've described it as the early innings. I think these are the early innings of at least a nine inning game to be played. And so, I really am convicted and excited about the outlook.
Chase Mulvehill: A quick follow-up. You've given us this couple year outlook. Obviously, that's going to lead to some pretty strong free cash flow. You're paying down the 2021 notes here. So, what's the plan for excess free cash flow as we kind of get into 2022 and leverage ratios get to more comfortable levels? Is it a dividend bump? Special dividends, buybacks, M&A, or just maybe just build cash on the balance sheet?
Lance Loeffler: You're right. In the near term, we're focused on trimming our debt levels. I think that that focus – good example of that focus is what we plan to do this month or early next, actually, with the $500 million maturity that we have coming due, paying it down with cash. Look, I think we're getting to a point where we're continuing to strive to cut our debt levels and get back to that 2 times debt to EBITDA leverage ratio that we've talked about before. But I think we are getting to a point where we intend to return more cash to shareholders, whether in the form of a dividend or share repurchase, not willing to commit to that at this point. But it's certainly something that we think is an and type scenario. So, we continue to trim our level of debt and improve the level of cash that we send back to shareholders.
Operator: Next question comes from Scott Gruber with Citigroup. 
Scott Gruber: I wanted to get some more color on the encouraging pricing trends here in North America. Is the net pricing that you're garnering, is that going to impact margins much in the second half? I ask because when you look at the 3Q guide, the embedded incrementals look to be kind of on the order of 20-ish-percent. And I would just think it'd be something greater than that if it's really having a big impact. Is there just a time lag here? Are there other offsets, maybe on equipment sales? Or do we just really need to see a little bit more activity growth to see pricing take a bigger leg higher into 2022?
Jeff Miller: Yeah. As I said, it's not across the board. It is a process, but we are seeing net pricing in certain pockets and certain things today, and I expect that that accelerates, as I said, into 2022. But, clearly, with frac ESG friendly equipment that is in very short supply, we have a leading position in dual fuel electric, tier 4 also. And so, in all those categories, that's what the market demands and that's an – structurally, because of our large footprint there, we have a structurally differentiated position, but that equipment isn't everywhere and that equipment is some under contract, some is not under – it's moving. I think what's important at this point is that we're negotiating up and not down, and that's sort of a different dialogue than what we've had. And that's what we're seeing today. So, do you see all of that in Q3? Absolutely not. But what you do is you see us on a journey now that's different than the one that we've been on. And that's where we are.
Scott Gruber: Turning to the digital contract wins, which are great to see, couple of questions there on the impact on margins. First, just so we can dimension it. Do the digital revenues and margin also flow through D&E? Or when you have Completion and Production [indiscernible], does some of it hit C&P? More importantly, how do we think about the real timing and magnitude of the benefit to margins? Is there much of a benefit during the second half through the initial deployment and scaling up in places like Kuwait? Or is it more to come in 2022 and 2023? Particularly for D&E, it's been a segment where you guys have been pushing to structurally lift margins over the last couple of years. How do the digital wins in the digitization of the industry and Halliburton's participation really push where the D&E margin could go on a more normalized basis as we get deep into recovery?
Jeff Miller: When we think about digital, digital margin impact is across the business. Obviously, the software sales and the cloud native apps are in D&E. But more broadly, digital capability affects the whole business. And so, that's behind our [indiscernible] products, so tools like EarthStar and our SmartFleet, all of those are a byproduct of having digital capability in the company. In fact, the capacity to develop software at scale is pretty unique. And that is what allows that to happen.  The third way we consume software, and this has an impact also on the entire business, is the ability to consume the solutions ourselves and reduce our own costs. So, I would argue a large part of our ability to, for example, last year, reduce the roofline by 50% was rooted in our ability to do things digitally that remove many steps and change the processes and took people out. That's why I'm careful how we describe that.  I think that, clearly, it's a contribution to D&E. But I would say that the contracts we've described are all good contracts, but you ramp up – it might ramp up, they get started. It's a consultative process. And so, I would expect later this year or really more so into 2022 and beyond. I think these build one on top of another and become very sustainable over time, less of a sort of pop all at once, but sort of building into larger projects over time. 
Operator: Our next question comes from Ian Macpherson with Piper Sandler.
Ian Macpherson: The one question that I had, Jeff, is when you look at double-digit trajectory for synchronized expansion for North America and international, just given the strong command that OPEC+ has over the oil market over the intermediate term, what type of call on US production growth are Ae you contemplating which underpins your North American outlook for the next couple of years?
Jeff Miller: We think that some of what we've seen over the last couple of days, I think, lays out a path for OPEC. And so, that's, to a certain degree, defined. If we look at pent up demand for oil at least today – if we look up the pent up demand that we see for oil today, we're at 98 million barrels a day now, the economy feels more than 2 million barrels shut in, to me. In fact, it's probably 4 million barrels consumed in aviation alone. So, I think there's a normalized level of spare capacity that's expected. So then when we think, okay, North America, what happens there? Well, we're up 10% year-on-year. And I think the expectation is that production is largely flat for this year. I would expect that there would be a call of – is it 500,000 barrels, some number like that? Some level of growth that would be called on in 2022. That, the price clearly supports, which would then drive more activity for us, certainly, and we have – in that mix is stemming the decline curve that is always working on North America production. So, those are the things that underpin our outlook.
Ian Macpherson: And then, staying on the domestic pressure pumping side, we're obviously beginning to see some of the smaller competitors announce firm plans and sort of abstract plans for renewing their fleets with clean fleet, but different iterations of it. In your view, is that coming earlier than you would like to see it? Or do you think that the market is ready to support the pricing and the returns for that equipment at the scale that we've already seen over the last few months? And should we expect Halliburton within your 5% to 6% CapEx and below to march along at that same industry cadence with new clean fleet investment?
Jeff Miller: Well, if we always look at our – we're fortunate today that we have one of the youngest fleets in the market. And as we replace equipment, we also have a large fleet. And so, as we systematically replace equipment, we have a choice to make. So, what type of equipment do we replace it with? And it's a combination, generally, of electric or dual fuel. But I think that our steady drumbeat of replacements and within our 5% to 6% of capital spend, we're able to meet demand and also at terms that are adequate. I think those two things have to be in place. Fortunately, we're in a position where we are able to deliver those things today. I say today, but today and over the near term from operations. Remains to be seen the pace at which all of that can happen in the market, given where sort of broadly that market stands today in terms of returns. So, without the returns, it's not – we wouldn't be investing in these types of equipment at all. Fortunately, we're in a position to do so and do it ratably along with our sort of planned replacement cycle.
Operator: Our next question comes from Neil Mehta with Goldman Sachs.
Neil Mehta: Congrats on a good quarter here. I have a really high level question. It's been a tough 10 years for the energy sector, but it's been an even tougher period of time for oil services relative to the rest of energy. Jeff, as a leader of this industry, what do you think the key is to attract the generalist investor back into this vertical within the space? Do you think it's about earnings execution? Is it about returns on capital? Or is it about returning excess capital to shareholders, so return of capital?
Jeff Miller: It has to be all three of those. But I think it starts with some clarity around what is the trajectory over time that's sustainable as opposed to all of the ups and downs that we seem to have had sort of intra-period gyrations. And I think what's shaping up today, as I've described it, is a more sort of predictable, sustainable trajectory. And that's what we see out over the next couple of years and really beyond that, just because I think we've been through a lot of the over-capitalization. There's been under investment for a long enough period of time, particularly in the resource that, as demand recovers, which it will recover, I think there's a solid opportunity set for our services.  Now, within that, obviously, I have a view that – and believe firmly that our competitive positioning is different also. And because of that, Halliburton has tools, whether it's our value proposition, our technology or sort of our portfolio and how it's placed to maximize value in North America, which we've always been clear on. We want to maximize value in North America and grow profitably internationally. And I think both those macros are set up perfectly for doing that. And so, as a generalist, there's some clarity around where we're going. We've got some track record of where we've been, where we're going. And I think that sets up well for a generalist investor. 
Neil Mehta: The follow-up on that on on return of capital, if you look at the energy sector, S&P energy sector, it trades at a 4.5% dividend yield. How do you think about Halliburton's value proposition on a multi-year basis around return of capital, whether it's through dividends or through buybacks? Do you ultimately need to be offering a total return of capital yield that's far in excess to the market, given the questions about the terminal value of the business? 
Lance Loeffler: Neil, I think it's a great question. And I think that we're going to continue to reevaluate what it means for us in the near term as we continue to grow into this recovery. We certainly believe that we need to improve those yields today on a dividend basis. But we're going to continue to look at and get comfortable with the forward free cash flow profile, what we think that this business, we believe, can generate in these out years that Jeff discussed. But, clearly, we believe it requires improvement from where we are today. 
Jeff Miller: Maybe one follow on to that, Neil. Strategically, we have changed the cash flow profile of our business, and that is the shift from 10%, 11% of revenues going into capital down to the 5% to 6%. But what that does is that sets Halliburton up to do those things. And so, I think it's our view and the change in our cash flow profile certainly aid that process.
Operator: Our next question comes from Aaron JR [ph] with J.P. Morgan.
Unidentified Participant: My first question relates to just the activity mix in the US. The privates have added more than 70% of the incremental rigs since the activity bottomed mid last year. I guess my first question is, what is your expectation around, call it, the mix of public company activity next year once some of the OPEC barrels are returned? And do you think that a higher mix of public company activity is – are you indifferent about that? Or do you think it's helpful to your revenue growth and margin opportunities relative to industry next year? 
Jeff Miller: I think we will always look for the best return opportunity for us. I'd say operators have not said anything about next year, and I'm not going to project what they might say. I think I have – we can see what the demand sort of looks like to us as we look out into next year. But I also think that every operator will make their own decisions around how they deploy their capital. And overall, a supportive commodity price, which we see creates headroom for our clients to do work and return cash to their shareholders, which is important for them to do. So, I think the improving commodity price and the structural sort of support that we will see in the commodity price makes all of that work as we go into 2022. 
Neil Mehta: Just my follow-up. We had a dynamic, particularly in the US, where budget exhaustion has led to some frac holidays which has obviously been a headwind. How is Halliburton looking to mitigate that risk as we approach the back half and the fourth quarter kind of given that dynamic?
Jeff Miller: I think operators are going to do exactly what they said they would do. And we really haven't seen budget exhaustion, to this point haven't talked about it. And I think that is because operators are ratably doing exactly what they said they were going to do. So, I don't anticipate that we see any of that or much of that this year. And I'd say the other thing that we've done a lot of work to variabilize our business, such that when we see slowdowns or holds or anything else, we're able to respond to it very, very quickly as opposed to how we might have done it in the past. And that all is process change and really philosophy change, but it's working quite well. I think we'll have a solid sort of working through the balance of the year just because of the clarity that our clients have and are providing to us. 
Operator: Our next question comes from Connor Lynagh with Morgan Stanley.
Connor Lynagh: I wanted to return to the multi-year outlook you guys gave. And basically, what I'm wondering is, certainly, I know you want to stick to the ranges you put out there for capital expenditures, but I would assume there's a certain degree of growth investment required to realize that. So, I was wondering if you could discuss just where you plan on allocating capital, what some of the big areas that you think are sort of priorities within the business over the next couple years here?
Jeff Miller: I think that as we look out, I believe that we've got the opportunity to meet those expectations within the guidance that we've provided with respect to CapEx. I think there is growth CapEx in that sort of 5% to 6% range that we've provided. For example, if I look back over the last five years, asset turns have improved by 50%. That's strong improvement. But this is back to my commentary around strategically approaching capital efficiency. So, as we're very sharp around our R&D dollars, drive capital efficiency, our process drives capital efficiency, and those are the kind of results we see in terms of capital efficiency. And so, we will continue to drive that as the market expands over the next couple of years. And really, strategically, that becomes our operating process. And I expect we'll continue to do that.
Connor Lynagh: Sort of similar question here. But just in terms of thinking about – particularly your labor pool, and I guess, your overhead in international markets, so certainly, you've right-sized in select areas, but you're anticipating a pretty big recovery here. I guess I'm just curious, it seems like in the outlook there's an acceleration in incremental margins as you get out into some of the later years. Is that because you have sort of excess labor that's going to be more highly utilized, is that because of the pricing that you're anticipating. Just curious what the what the big drivers are of that improvement in incremental margins?
Lance Loeffler: Look, Connor, I think it's less about cost savings structurally. I think it's more about volume of activity combined with price. So, it's volume, utilization and pricing improvement throughout the course of that journey that Jeff sort of outlined. 
Jeff Miller: We're always working on costs. We've got a continuous improvement program where we're constantly driving, managing costs down. And I believe that that program and our approach to that is adequate. As we grow, we will manage the cost. But clearly, we expect to see tightness in pricing and more activity over time that all drives incrementals. 
Operator: That concludes the question-and-answer session. I'd now like to turn the call back over to Jeff Miller for closing remarks. 
Jeff Miller: Before we end the call, let me close with this. We are in the early innings of an unfolding multi-year upcycle that presents growth opportunities for Halliburton internationally and in North America. Those opportunities match Halliburton's unique customer-focused value proposition and our position as the only fully integrated energy services company in both international and North American markets. As this unfolds, we remain committed to driving returns and free cash flow for Halliburton shareholders. I'm optimistic about what lies ahead and look forward to speaking with you next quarter.  Shannon, please close out the call. 
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.